Operator: Good afternoon, ladies and gentlemen. Welcome to Research Frontiers investor conference call to discuss the second quarter 2021 results of operations and recent developments. [Operator Instructions] This conference is being recorded today. A replay of this conference call will be available starting later today in the Investors section of the Research Frontiers' website at www.smartglass.com and will be available for replay for the next 90 days. Please note that some of the comments made today may contain forward-looking information. The words expect, anticipate, plans, forecasts and similar expressions are intended to identify forward-looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to the safe harbor provisions that are part of the Securities Litigation Reform Act of 1995. These statements reflect the company's current beliefs, and a number of important factors could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause results to differ from those anticipated are described in our filings with the SEC. Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. The company will be answering many of the questions that were e-mailed to it prior to this conference call, either in their presentation or as part of the Q&A session at the end. In some cases, the company has responded directly to e-mail questions prior to this call or will do so afterwards in order to answer more questions of general interest to shareholders on this call. [Operator Instructions] I would now like to turn the conference over to Joe Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir.
Joe Harary: Thanks, Paul, and good afternoon, everyone, and thanks for being with us today. We have a lot of developments to talk about today, and there'll be a lot of new information discussed today. And also, I'll be reviewing some information that our longer-term investors may know, but which will be helpful to new investors who heard about this thing called the smart window industry, perhaps because of View or Crown becoming public companies recently and want to know how Research Frontiers and SPD-SmartGlass technology compares. Our financials are fully explained in our 10-Q filing and our press releases. So other than to note that we made significant further reductions in costs, let's dive straight into the new business developments for your company. This year, there have been major developments in each industry that uses SPD-SmartGlass. We're going to focus on automotive, architectural, aircraft and trains and other mass transit. I also want to give -- to help give everyone points of reference so that you can better put all of these developments into context. Let's start with automotive. Major trends include a very accelerated push towards electric vehicles. Today, the U.S. government announced their target of 50% of all vehicles sold in the U.S. being zero-emission vehicles by 2030. Since our last conference call, a number of additional automotive OEMs announced that they're going all electric. This is happening now almost weekly. Why is this important to Research Frontiers? Because our SPD-SmartGlass can increase the driving range of electric vehicles by up to 5.5%. This is quite significant range extension that will come in addition to any advances that occur in battery technology. Companies are announcing carbon-neutral targets. We reduced CO2 emissions by up to 4 grams per kilometer. So while the world converts from internal combustion engines to electric vehicles and other zero-emission vehicles, all vehicles can still benefit from using SPD-SmartGlass. This not only gives carmakers a longer-term environmental benefit, but in Europe, it helps them avoid current regulatory penalties of EUR 95 per gram per kilometer that their fleets don't meet the tightening emission standards. So with 4 grams per kilometer of CO2 savings, that's EUR 380 per car or about $450 per car in savings, folks. In a few weeks, the IAA Auto Show will be held in Munich. Many of us that have been in the auto industry for a while used to know the IAA as the Frankfurt Auto Show, which is the largest auto show in the world. This year, SPD-SmartGlass is expected to be shown in multiple locations there. We will be sharing whatever details we can about this with all of you as the Munich Auto Show gets closer. I think that by now everyone on this call knows that Cadillac launched their all-electric flagship, the Celestiq at CES this past January. The launch highlighted the 4-segment SPD-SmartGlass roof that gives occupants more control over the light entering the car. Use of SPD-SmartGlass and sunroofs has been well proven in serial production, starting in 2011 with Mercedes and then McLaren. Mercedes test data shows that the use of SPD-SmartGlass in just the sunroof can reduce cabin temperatures by 18 degrees. Instead of getting in a car and it being 90 degrees inside, it is 72 degrees without using the air conditioning. This allows carmakers to reduce the size of the air conditioning compressors by up to 40%, reduce weight and increase driving range and fuel economy. Bentley took this idea even further and noted in their public presentations that use of SPD-SmartGlass and a full panoramic stationary glass roof can reduce weight in the roof by 13 pounds and eliminate 54 components. It also adds inches of headroom and by reducing the weight in the roof, lowers the center of gravity of the car. So SPD-SmartGlass not only saves energy, assembly complexity, and time and weight, but it also improves the stability of the car. One of the things they like about our business is that we have about 250 patents on a basic material that has great functionality. Customers are constantly figuring out new ways to use that material to achieve their goals. I expect that at the Munich Auto Show, visitors to the booths of other carmakers not yet mentioned today and other automotive suppliers, will not only see the more traditional uses for SPD-SmartGlass but some uses never before shown in the industry. Another major trend besides electrification, energy-efficiency and lightweighting is the movement towards enhancing the passenger experience. Comfort and safety were always important to carmakers. But now as we move more towards self-driven vehicles, it becomes even more essential. And we're not just talking about autonomous cars, but also trains and aircraft, and not just traditional aircraft like the Airbus A220 that we're on, but also rotary aircraft like helicopters and some recently added projects for SPD in VTOL and even electric aircraft. Some of you might have noted an announcement last week by our licensee, Gauzy, about train glass delivered to their customer Rehau for the Deutsche Bahn Idea Train. Rehau is a large supplier to the train and other industries with over 20,000 employees. I started talking to them in February 2019 about use of SPD in trains, and I'm really pleased to see this important development for the train industry. Trains use a lot of glass, and SPD-SmartGlass has preserved views on such iconic luxury and sightseeing trains as the Shiki-Shimi train in Japan and the Rocky Mountaineer trains in North America. The Deutsche Bahn Train opens up SPD to a much larger new market, commuter and regional transport trains. I expect that more information about this train and its use of SPD-SmartGlass will be announced shortly. Our licensees go head-to-head with View and Sage in bidding on SmartGlass projects for the architectural industry. However, there are some noted performance differences between electrochromic technologies such as that offered by View and Sage and our SPD-SmartGlass technology. First, electrochromic technology and architectural-sized windows can take as much as 40 minutes or more to switch tint, depending on the size of the window. SPD-SmartGlass takes 2 seconds to switch tint and can get much darker than electrochromics. The change in tint with SPD is perfectly uniform throughout the entire window, whereas electrochemical glass has an iris effect where the window begins to change tint at the outer edges of the window and slowly works the tint change to the rest of the window. Architects are getting smarter and asking to see large samples of electrochemical glass so they can judge for themselves the speed and uniformity of tint. Nothing out there compares to SPD-SmartGlass in terms of our speed, range of light transmission and uniformity of change. And now that our licensee, Gauzy, has a coating facility in Germany dedicated to making SPD light control film that is 1.8 meters wide, we also do not have the same size limitations that electrochemical glass has in its manufacturing process. And because electrochemical glass needs to be sputter-coated directly on glass, this not only creates size and handling issues and limitations, but also limits the shapes that the glass can be fabricated. SPD-SmartGlass has appeared in rectangular, square, circular, triangular and even trapezoidal glass in architectural projects. Sage and View had to turn down these types of projects because of the practical manufacturing limitations that exist with their technology and their manufacturing processes. And of course, there are yield issues that has caused very large losses for them on projects. Last quarter, View lost over $50 million. I believe that they'll be reporting their second quarter results next week or the week after. It should be very interesting. With that said, let me now take some other questions that our shareholders have sent me.
Joe Harary: John Nelson had e-mailed made the question, any progress on your film producers bringing down the cost curve? Absolutely, John. The facility in Stuttgart, Germany that Gauzy has, can produce film at a fraction of the cost that the prior film production facility that Hitachi Chemical had, can do. And it's 11 years newer. And in fact, this week, new equipment was delivered to that facility to further increase the efficiency and the production capacity of that facility. So if you remember on prior conference calls, I discussed that Gauzy had expanded their emulsion production capacity in Israel, and now they've taken steps to increase the coating capacity of their facility in Stuttgart. And for those that remember the inauguration press release about that factory, it can coat 1 million square meters of SPD film a year. Chuck Michaels had asked, please clarify where we are in terms of SPD film being used in future cars and when. Well, I mentioned that we're going to have a number of instances at the Munich Auto Show, and I think people should stand by and enjoy some of the announcements coming out of that. And previously, we talked about Cadillac. And as many of you know also, Hyundai made a direct investment in our licensee, Gauzy. So while they haven't announced their timetable yet, I think people can draw the proper inferences from that investment that they made. Sam Finta writes there have been a lot of mention of PDLC lately in the automotive sector. I could see an advantage of having a combo product with SPD and PDLC combined. However, I cannot wrap my head around how a vehicle can have PDLC alone unless they have a roller shade. Should we expect the combo product with SPD popping up in the automotive sector? And what is your view on vehicles that might plan on to have PDLC only? Is that possible without a roller shade? And a related question, came from Jared Albert, who said, am I correct in thinking once an auto OEM has gone through the expense of putting PDLC into a sunroof, the only additional cost to switch the SPD is the difference in the cost of SPD versus the PDLC, even the lamination with the need for pneumatic seal is the same cost? And then before low-E became a standard coating on sunroofs, there are articles criticizing the greenhouse effect in the 57 and 62 mybox and the concepts with LCD roof systems. Aside from the light blocking versus scattering advantage that SPD offers over PDLC, is the greenhouse effect caused by visible light still a quantifiable advantage for SPD over PDLC? These questions are related because I don't believe, Sam, that there will be a combination product. If you think about a sunroof, the main use of PDLC is for privacy, and you really don't need privacy in a sunroof, especially when the existing 90-micron SPD film can block 99.5% of the light. And the other, I think, question highlights the fact that when the auto industry has tried PDLC by itself, they run into the greenhouse effect where light will enter the vehicle and create heat and then get trapped inside the vehicle. So it has almost the opposite effect that you're trying to achieve, which is to keep out unwanted heat, light and glare. But car companies sometimes will try things. Sometimes they have incomplete testing or engineering information, and sometimes the data just doesn't bear out in the real world. Our technology has been proven in serial production in cars since 2011, and Mercedes test shows that we can reduce the temperature inside the vehicle by 10 degree -- excuse me, 18 degrees Fahrenheit. So very significant reduction in heat inside the vehicle. Mr. Clair Hottent had asked this question for the meeting, what is the cost differential, if any, between View's technology and Research Frontiers' SPD? That's a great question. We have not seen unsubsidized pricing in the electrochromic industry. So whatever pricing is being quoted out there, is highly subsidized. Now we can infer from some of the data we see in the public filings from View, for example, that for every dollar of revenue, it's costing them $4. So there's at least a 5:1 subsidy going on there in terms of how much they're spending for a project versus their revenue. And unless that relationship changes, it means that they're going to lose a lot of money on every project. And our licensees are able to be cost competitive on the projects that we bid against View on without having to incur those kinds of subsidized expenses in things. And another question from Mr. Shah. What is the role of Gauzy in Research Frontiers? Do Research Frontiers shareholders have a chance to invest in Gauzy? Gauzy is licensed by us, primarily to make SPD film, and they've built a state-of-the-art facility in Germany to do that, Mr. Shaw. And they're a licensee. We have a very strong working relationship with them. We collaborate on projects like, for example, the Rehau project and others, and that's become a very good working relationship together. As far as direct investments in Gauzy, I believe that most of their investors are large institutional investors. They're not a public company, so you can't just invest in them directly unless you're a fund or a money manager of some sort. But I know that there's been a lot of interest in direct investments in Gauzy. They're an excellent company that does great work. So we handled a number of the questions we got by e-mail. I just want now to ask our operator, Paul, to open up the conference to any additional questions. People participating today might have that we haven't covered, and then I'm going to make a few closing remarks that I think will be helpful to people.
Operator: [Operator Instructions] And we have a question from [Jared Albert].
Unidentified Analyst: I'm not sure if you answered my question. If car companies goes with PDLC, is it just the performance difference over this...
Joe Harary: You're right. And I didn't mean to ignore that part of the question. I was just caught up in the heat benefits of PDLC or the detriment of PDLC from your question. If you have a car prewired, the electronics are essentially the same between PDLC and SPD, they both use AC voltage that's stepped up from a 12-volt car battery. So really, it's just replacing the glass. We use actually less power and sometimes as much more than 1/7 the power of PDLC. So that excess power doesn't hurt our system. So you can just substitute it in. One thing I want to mention also, I was discussing earlier in the context of bidding on projects, the cost differences between electrochemical glass such as View’s and SPD from Research Frontiers. And one of the things that we keep hearing now from architects is that while the glass may cost X and it's a highly subsidized price, the electronics and things cost about as much as the glass, in the case of an electrochromic technology. In SPD, we can use off-the-shelf control systems, pretty basic electronics, so we don't have to condition the power the same way that electrochromics do because they tend to have very high sensitivities and can even get fried out from minor voltage spikes, which is why they have to these-- installations have to really pay attention to the wiring and the electronics. We don't have that. I mean I've seen an SPD plugged directly into a wall socket.
Unidentified Analyst: Yes, mine is 20 years old and plugged right in the wall socket. Mine is just a reset just going back to the PDLC, am I right in thinking that, that is a laminated system with a matched glass and the [PTITO] obviously? But it really is...
Joe Harary: And I think there's probably more things -- yes, it is a laminated system like SPD. So it's a film laminated between glass. So those things should be relatively equal with PDLC because you don't have the inherent heat-blocking capabilities. If you wanted to make it somewhat energy efficient, you would have to put either special coatings on the glass or you'd have to put special interlayers inside the glass that you may not need with SPD. So It could be that -- it may be simpler in some cases and harder in others.
Unidentified Analyst: I mean 10 years ago, it was unusual to find a laminated light system, right, and now it's almost standard. You can't -- probably for safety, the tempered systems are exploding, but the laminated systems -- am I correct that the -- I mean to set up for the industry at this point is laminated panoramic roofs with multiple interlayers for UV and IR? I mean the Indiscernible the take is] 7 laminated interlayers.
Joe Harary: Right. And that is the direction of the industry. And one reason is, as you mentioned, at some of the tempered glass, sunroofs would just spontaneously shatter and things like that, which -- it's a problem when you're driving, obviously. But -- and a problem for the carmakers. The other issue that's happening now, which is a little more subtle, is that as you move away from internal combustion engines and more towards electric vehicles, road noise at higher frequencies becomes more of an issue. It used to be that the engine would drown out some of the higher frequency road noises, but now you hear higher pitch frequencies because the engine is quieter. And because of that also, just generally in cars, they're moving more towards laminated glass because you have the acoustical benefits of blocking road noise and we'll get maybe even better acoustical benefits with SPD because the SPD light control layer actually has some pretty effective noise-deadening characteristics as well due to the nature of the chemistry. So having a film with this stuff in it, actually helps a lot with the noise as well and that's...
Unidentified Analyst: Final question, same category. Can you give a sense of the price difference between SPD and PDLC, just to film -- the actual film? Is it a magnitude? Is it just a single-digit factor? Are we within range? I don't think about the films -- and I'm thinking about the BMW iX, and how easy it would be once they discover to just switch them?
Joe Harary: It's not an order of magnitude. It's a single digit and probably a low single-digit factor. And some of the pricing I see come out of Gauzy's factory makes the price comparable in high volumes. So...
Unidentified Analyst: That's incredible because PDLC is a true commodity at this point. I mean it's about as commoditized as it gets. So that's incredible.
Joe Harary: Yes. And we just have to get to the volumes to achieve that price parity with PDLC, but that's part of the business plan that Gauzy has.
Unidentified Analyst: Is Gauzy at this point -- I know I said last question, but you brought it up. Is Gauzy at this point more in the position of cost and process improvement rather than sort of – oops I mean they hired an outside senior process engineer who has some interesting posts on LinkedIn. And so I wonder if this is just in the category of cost and process improvement? Or if this is more in the category of okay, to get it this wide, we still have to do a few things? Can you characterize...
Joe Harary: No, it's more cost and process improvement. And obviously, there are things that are driving that. Some of the projects that they're working on can greatly benefit from even slight reductions in cost and things like that because you're talking about pretty high volumes.
Operator: Our next question comes from [Francis Cortera].
Unidentified Analyst: I was wondering, can you tell me how far along Gauzy is in developing a dark particle?
Joe Harary: They had announced their R&D on that when they initiated the factory because there was a number of people from the automotive industry in attendance. And there is a timeline that we're approaching now. I can't give you more of an update than what they've said in the past, which is they're working on it and it's on their radar. And by the way, Research Frontiers also has a number of existing techniques to work on the color and also new materials in development. But one of the things that we won't do is talk about vaporware. So when we have it, you'll know. But it's a priority for us as well.
Unidentified Analyst: Once it is developed, will it need to go through a testing phase?
Joe Harary: Everything should. Some of the choices you make in the development process can minimize the differences between existing materials and new materials, and that's something that we certainly have kept in mind in the work we've been doing at Research Frontiers and so we feel comfortable.
Unidentified Analyst: Once it is developed, and it might be several years before it's rolled out or...
Joe Harary: Or it could be that it's so comparable to the existing materials that you only need to kind of put it through some quick paces to make sure that there is nothing unanticipated going on. So it may not take that long for validation is what I'm saying based on the nature of what we're working on.
Unidentified Analyst: And Hyundai, their investment in Gauzy, how would they actually benefit from that?
Joe Harary: Well, that's an important question. Why would you make an investment in a supplier unless you were trying to strengthen that supplier because you had a strategic need for the material it's making. And that's kind of how I see the Hyundai investment, is it's a strategic investment in a strategic material for them.
Unidentified Analyst: And I'm still waiting for the royalty collecting dividend paying machine.
Joe Harary: A royalty-collecting dividend paying machine. Very much in our plans, my friend.
Unidentified Analyst: Is it getting closer?
Joe Harary: Well, if you look at the fact that we've reduced costs continuously for the past 6 or 7 years. Last year was our lowest loss in 26 years, and we've had further cost reductions this year versus last year. We're definitely driving the company towards being as efficient as possible so that we can pay out more in dividends. Because one of the nice things about our company is that unlike the other types of business models, we're a licensing company with very, very predictable expenses. So for us to look at what our cash needs are and predict them quite accurately is much easier for us than other companies. And because of that, the ability to pay dividends, I think, will be a lot clearer to us. Now it's a decision for the Board of Directors, but all of our directors are long-term shareholders of the company, and I think we all see eye to eye. It would be nice for us to be able to keep our stock and monetize it as well as dividends. You have to do a tax balance plan. You can't pay everything out in dividends. But on the other hand, it would be nice to...
Unidentified Analyst: Yes, but that only comes after revenues.
Joe Harary: Sure. And with the things in the pipeline we're well on our way towards that. So we pay attention to the cost and we pay attention to the revenues, both.
Unidentified Analyst: Patience do better than patents, right?
Joe Harary: Determination is better than patents, and we are very determined to become a very successful company and not make some of the mistakes that others in the industry are making.
Operator: Our next question comes from [Art Brady].
Unidentified Analyst: [Art Brady] here. I was wondering about Nippon Glass. We thought that around the time of the Olympics that possibly Nippon Glass would talk about some of the things they're doing, and I was wondering what the status of that is?
Joe Harary: Sure. Excellent question. So Panasonic is their customer has usually a very, very, very strong relationship with the Olympics, historically going back decades. As everyone knows, this year, the Olympics were a storied event, to say the least. And I think that a lot of that had an impact also on the publicity surrounding launch plans and things like that. My understanding, though, is that product is coming out and you'll be seeing it quite soon. But I don't think...
Unidentified Analyst: Is that this year or early next year or what?
Joe Harary: I know the answer. I'm just not allowed to say. Look, it's Panasonic that does their marketing, not A - Joe Harary.
Unidentified Analyst: Another question is Dubai. A lot of companies in Israel have gone to Dubai, and there's a lot of excitement of Israeli technology. Can you give us some kind of inference of what your -- or what Gauzy relations might be with Dubai?
Joe Harary: I can tell you what my relationship is. I was in Dubai in December. It's an amazing place. The civil engineers there are doing incredibly interesting projects. And the economic activity and development there is ripe for SPD. And the glass companies are also quite capable of handling anything high tech like this. So I know from first-hand experience that Dubai is a very, very good market with great companies that we're already working with. And Gauzy also has very, very strong relationships in Dubai. So when you have enough people pushing something forward, it usually happens.
Unidentified Analyst: Another question I have is as follows. There is a company in Israel, it's called REE automotive, and they were just taken over by a SPAC, and they have got quite an amount of funding. And basically, what this company does, it's an electric vehicle base. They just build a base and anyone who wants to develop an electric vehicle, they build on top of that base.
Joe Harary: Right, they call that the skateboard. yes.
Unidentified Analyst: Exactly. Exactly. Are you doing anything with them because it seems like it would be terrific if you could develop a kind of a model that you just put on top of that board as an enclosure, though? Have you...
Joe Harary: We're working with many, many electric vehicle companies. I can't comment on individual ones, obviously, because we need to keep business relationships...
Unidentified Analyst: Are you working with these skateboard company?
Joe Harary: Well, the skateboard is an interesting concept, but that's the drivetrain. And usually, you want to work with the people that are putting the body on it because that's where the glass is going. But it doesn't hurt to be friendly to everybody. And because of the nature of our business, Art, we can be friendly to everybody, even if they're not a direct customer. It doesn't cost us a lot of money to do that.
Unidentified Analyst: Because it sounds like it will be perfect if you set up a module that you just plug into it as a standard product that the Gauzy would develop.
Joe Harary: Yes. Well, certainly, the electric vehicle market is very much in on our radar screen. I just can't -- I can't give you more specifics.
Unidentified Analyst: Another question I have is how would your product benefit a hydrogen car? Would hydrogen cars benefit from...
Joe Harary: The same way that an electric vehicle would. By reducing the air conditioning loads that are required, we're increasing the driving range of every zero-emission vehicle as well as internal combustion. So we're somewhat agnostic as to what the car is we can use our glass to benefit from the heat load benefits without regard to what kind of drivetrain it has.
Operator: [Operator Instructions] And our next question from [Chuck Michaels].
Unidentified Analyst: I had 2 areas of questions here. One is in -- your press release mentions that the Mercedes models that you've had SPD in, are being phased out. Is there anything you can tell us as to Daimler's plans to include SPD in new models?
Joe Harary: Well, we have a good relationship with Daimler. And right now, they're in this period where they're almost oversimplifying their vehicles in terms of product offerings and entrants. And there's some reasons underlying that are totally unrelated to SPD. But I'm pretty confident that because of the benefits that SPD has and their familiarity with the reliability and performance of SPD, that we’ll be on future vehicles there.
Unidentified Analyst: Okay. And second area was I don't think it's been in discussion on this call as to SPD in buildings. Can you tell us what in that area is...
Joe Harary: Yes, I kind of backed into it with the discussion of our licensees going head to head with View and Sage on architectural projects. I'll give you a little more detail and color though. One of the things that I'm pleased to see out there is that architects are getting a lot more sophisticated in how they view SmartGlass. It used to be something that they thought they knew about, but they were kind of lumping in PDLC and SPD and electrochromic and thermochromic and photochromic and everything into the same kind of batch. And judging from the questions that we get when we talk to the architects, it's a much more sophisticated understanding between SmartGlass that's out there. And one of the things that I was considering doing for today’s call is actually giving a primer on the different types of SmartGlass, the advantages and disadvantages, I chose just to kind of focus on electrochromic because now it's the closest in terms of appearance to us, but not in terms of performance. But the projects that we're working on are projects that are nice poster-children for SPD, really cool designs, very hard to shade types of glass that were -- just shading, it would solve a lot of problems. Those are the kind of the things or the lower hanging fruit in that industry.
Operator: And we have a question from Bruce Denny
Unidentified Analyst: A couple more questions about the architectural market. I think in the last conference call, you said we had already been specked into some architectural projects. And that's about as far as we got with the conversation. My question is, can you give us an idea of the scale of some of these markets or these projects that we're in? And when -- or have they already started the construction? And I don't have an interest in finding details of whether or not something has started, and are we looking at a skyscraper or a storefront. What are we talking about in terms of skyscraper...
Joe Harary: We're talking mostly -- yes, we're talking skyscraper-type projects, corporate headquarters, things like that. There are storefront and retail but the things that are on my direct radar is the bigger projects. And glass tends to get put in later in the construction phase, so I don't want to say anything prematurely, but being specked in is really, really nice, especially when the architect has a good understanding of what it is they're specking in and the attendant things that have to be done to the system. In our case, not much has to be done to the electrical system. Whereas in In electrochromics, sometimes you really spend a lot of time and money to put in something that's compatible on the electronics side. So those things are moving forward. There always could be slips between the cup and the lip, and I think what View found out, perhaps painfully, is that just because you you'll have a letter of intent on something and you categorize it as backlog, typically, the first thing to get thrown out is the expensive glass, and I think they found that out the hard way. So on the last conference call, somebody asked them about backlog and they kind of backpedaled on the backlog issue and said, well, we don't think it's a good predictor of future revenues. So I think they're beginning to realize that you don't count your chickens just because you're specked in.
Unidentified Analyst: Right. So have any of these projects started already?
Joe Harary: They're still getting into the shovel stage. Unfortunately -- yes, but some are some can be near term because we -- glass can go in at any time.
Operator: And we have a question from [Dennis Awang] Dennis Lavoie.
Unidentified Analyst: I got like 3 different areas. One area is in Brazil. You mentioned a year ago or so that you had armored plating glass. They were going to use your technology. Has anything become of that? Or has the pandemic kind of squashed that opportunity down in Brazil?
Joe Harary: Well, the pandemic certainly has affected Brazil pretty hard. But even post pandemic, I saw some demo vehicles that were for major OEM with armored glass -- armored SPD glass. It's hard to say, unless you have feet on the ground in Brazil, and it's very hard to do that right now. But what I've seen was very encouraging.
Unidentified Analyst: Okay. And then you spent a lot of questions answering architectural sheet glass. And my question is you said you're bidding a lot of projects. View has announced -- they have a steady stream of projects they announced for once...
Joe Harary: Yes. Usually, it's the week before their conference call.
Unidentified Analyst: Well, if I were you, I might do the same thing. If you were them, you may or may not do...
Joe Harary: Absolutely. Absolutely.
Unidentified Analyst: Okay. The current River North project, put in 235,000 square feet Class A office building, is that the square footage that they're going to pay rent on? Or is that the glass area of that building? Do you have any idea of what's going on?
Joe Harary: Yes. Yes, it's not the glass. And the fact that they're quoting these projects in terms of how much rentable square feet makes me think that the amount of glass is not as significant.
Unidentified Analyst: What does that have to do with anything?
Joe Harary: I agree. I did say I'm in $10 billion worth of Mercedes cars. But my glass content is not that.
Unidentified Analyst: Okay. I've done some -- nobody's done on a conference call, but anyway, let's go on. You said you've bid been in a lot of architectural sheet glass market.
Joe Harary: Yes.
Unidentified Analyst: Okay. And what's the reason why you're losing it because if I understand correctly.
Joe Harary: We're not losing. We're just not giving anything away. I mean if you look at -- there was a research...
Unidentified Analyst: [Indiscernible] at these calls, all they want is praise their product. But at the end of the day, you're bidding that just for Gauzy projects, and you're not getting. But I also heard you used, at one point in this conference call, that apples to apples is your damn close, you're only off by...
Joe Harary: We're within striking distance, and with -- I think our product that has better performance. I mean one of the things that I didn't do, because I don't think I should be doing it, but a research analyst that came out with a report on View and actually interviewed former executives of View and confirm that they were given the glass away on some of the earlier projects. So if you wonder where the hundreds of millions of dollars they've lost each quarter or each year, a lot of it goes to things like that. And there is in any industry that's emerging, a need to prime the pump a little bit, but there are limits to, I think, what's prudent and I'll just leave it at that.
Unidentified Analyst: Okay. So you're within striking distance as far as price, but at the end of the day, you're mum's the word, but there – there is percolating in the percolator, so to say.
Joe Harary: Yes. Yes. And historically, in every industry that we've been in, there have been entrants mostly in the electrochromic field that have lost money on each piece of glass. Saint-Gobain lost reportedly between $2,500 and $5,000 per roof when they were in the Ferrari Superamerica. But there's only 600 of those cars made. So it's a marketing expense. If you do it on a larger scale, you're talking about real money and our licensees prefer to make money on the projects they're on.
Unidentified Analyst: Is there any need for this technology in the truck market?
Joe Harary: Yes. There is a couple. Number one, there's truckers arm usually of truckers -- truckers have a higher incidence of skin cancer because their arm is hanging out the window, and there's a lot of UV. So using SPD with UV blockers in the side window would certainly alleviate that. And then you have the sun visors. Remember, these are professional drivers that are doing long-haul trucking, and things like road glare and stuff that you and I may think as an annoyance on our 1- or 2-hour commute every day becomes a real problem on an 8- or 10-hour shift. So using this in the sun visors and in the windshield is important. And then the third use in trucks would be in sleeper cabs, where sometimes you're sleeping during the day and you wanted to flip a switch and have privacy and complete darkness so you could go to sleep, and this would be a great way to do that as well.
Unidentified Analyst: Okay. Final question. Gentex did some work on, I believe, the Dreamliner on many years ago, which, ultimately, they have an issue with it. But could you give us a lay of the land with the airplane market today as far as what you have, what the other people have and what technologies the other manufacturers are using if you have time or care about it?
Joe Harary: Sure. So up until this year, we were mostly in -- we were actually the first commercially flying switchable window. We were put in the Airbus A380 planes that were outfitted and used by Qantas Airlines since 2008, I believe. So we were the first kind of flying a -- longest flying switchable. Most of what we have been in though is in general aviation. So the King Airs and the Honda Jets and things like that. And then recently, again, we got into the A220 -- Airbus A220, which is depending on what course in the cash flow industry as well -- airlines and things. So that's what we have. Gentex is on the Dreamliner. As you mentioned, they had some issues with the Dreamliner that believe they're starting to restart production in the Dreamliner again or slow it down a little bit to the figure out what was going on there. But -- and then they're an option on the 777, but I don't think it's been used.
Unidentified Analyst: Okay. Okay. So what question, if you were me, would I ask you?
Joe Harary: Yes. I think that what I would say is that I wish that the things that are bubbling to the surface -- if people would understand that they are bubbling to the surface and coming out, and there's going to be a period of time between when some of the Mercedes came offline at the end of their product life cycle and when the new cars come on but we're out there with a lot of irons in the fire, working with a lot of different OEMs, both electric and internal combustion engine vehicles and some of these things are pretty exciting vehicles and I always want to drive a car with SPD-SmartGlass in it. So I think I'll have some choices as to different OEMs.
Operator: [Operator Instructions] And we have a question from August Berman
Unidentified Analyst: I had a couple of questions. First, I think you had intimated earlier that we're not going to see a combination between SPD-PDLC roof?
Joe Harary: Not in automotive. You see it in yachts you see it in planes because there, there's time when you want to bring daylighting, let's say, your main cabin -- you want to bring daylighting in, but you don't want to -- or sometimes you want privacy only, but bring daylighting in. So you're close, but you don't want people outside to be able to look in the main bedroom of your yacht or something like that. And planes on the tarmac, sometimes you want to bring daylighting in, while it's sitting on the tarmac, but you want the privacy. But – so we've seen that. And I mean if you come visit us if you [Indiscernible] aircraft and yacht windows, the yacht window is from Dyson, the vacuum cleaner guy’s yacht and aircraft windows will have combination products. And they're cool. I don't see it on the roof of a car though because for the most part, you don't need privacy there and you really want to reject as much heat and light as possible.
Unidentified Analyst: I only say that because Continental on their engineering website has a really fantastic video of combination SPD and PDLC, which made I think all things -- maybe we're going to start seeing combination of that. It sounds like more of a side glass, not a sunroof feature, but do you see it in future?
Joe Harary: Right. Side glass, you could see -- I could see it as being a privacy feature if you want it.
Unidentified Analyst: Secondly, some of the message board chat kind of goes over. We saw this really amazing YouTube video from Doug DeMuro, big auto guy, and he highlighted the McLaren's detail, 1.7 million views. He had so much passion. And I was just thinking, is there any way to not show bias, to show a good comparison. Here's SPD, here's PDLC, here's EC, and show the performance of some of it to get more of the word out. Because honestly, I don't know how much like, for instance, when I would visit a Mercedes but I would visit a Mercedes store and [Indiscernible] and ask them about the product, and they didn't all know it. Whereas, somebody in the industry who can really spread the word, I'm not sure -- maybe there's no answer to this, but I mean have thoughts of marketing this technology been put out that way or reaching it at 70, you have that pretty wide footprint in terms of the audience during these technologies?
Joe Harary: Yes. So we -- at one point, we had an effort going with the dealers to educate them on the option and the benefits and things like that. The way that Mercedes prices options, the dealers are relatively agnostic. So the only thing that becomes -- and this is what we heard from a number of dealers, if we get a car in a dozen advert and the guy's neighbor has it with the Magic Sky Control feature and this guy doesn't, the customer comes back to us all that he wasn't told about it. But for the most part, the dealers are selling what they have on their lot. And if that's an orange car with pink polka dots, that's what they're going to try to sell you. And what we found is trying to get Mercedes and others to change the make rate, was a more productive approach there. And McLaren has had huge success with SPD roof. Their customers have very, very high take rates, and they loved it. So I think you're seeing that -- what you mentioned kind of the McLaren enthusiasts really becoming very vocal and passionate about it and it translating into other McLaren owners buying it. Whereas with Mercedes, you have kind of a whole mix bag of demographics buying a Mercedes. It could be the person who doesn't go on social media and it could be a young guy that does, and often that may be where they're timing it.
Unidentified Analyst: Well, also to just to kind of differentiate it. Again, the common quote -- it goes like electrochromic glass, when an investor who's invested in Research Frontiers know that's certainly not EC or it is SPD, whatever it is. So just from the performance breakdown, I thought that would be interesting.
Joe Harary: And we've tried to get the industry to use the term correctly. A lot of times we'll refer to as electrochromatic glass, and we try to get reporters to refer to us a suspended particle device for SPD so that -- because there is a difference, obviously.
Unidentified Analyst: Well, Cadillac did, which is great.
Joe Harary: [Indiscernible]
Unidentified Analyst: [Indiscernible] Last question, I saved the best for the last. Any way to say whether yes or no, that next month at IAA, we're talking about demonstrations in terms of showing up the technology or are you talking about talking about series production with SPD next month at IAA.
Joe Harary: I'm not allowed to say, but I think you're going to see a number of demonstrations that are going to be very cool and feasible near term. And I think what you don't see usually until it's ready to be launched is the actual series production line. When they're going to put in series production, you'll see the car with the SPD. And I think that given the time frames and the marketing plans that the automakers have, it won't be at IAA that you will see series production. But I have been wrong before. I have showed up at other car shows and seen launches when nobody including our contacts within the automaker thought there would be.
Operator: And our final question comes from [Michael Kay].
Unidentified Analyst: I wanted to ask, in the past, you said the main barrier to getting SPD in major architectural projects was cost. But now that costs are down, it's in that...
Joe Harary: No, no, the major barrier wasn't cost. It was width. Architectural, you need 1.2, 1.5 or 1.8 meter wide film, and Hitachi was only making 1 meter wide film. So that was the barrier. The thing that is breaking open that market is not the cost, although cost is certainly easier to deal with when it's lower, and Gauzi is certainly lower per square meter than Hitachi was. But it's the width that was the issue there. And that's why I'm excited about the architectural [Indiscernible] you got both of these things now, yes.
Unidentified Analyst: And do you think the sweet spot in terms of cost for all of the different markets has been achieved? Or do you think...
Joe Harary: You're never going to achieve a sweet spot because no matter what the price is, someone wants it lower. What happens if price goes down? This is a typical supply and demand growth. Your price, your cost matches the projects that can benefit from your product at that cost. That means not selling cars for $20,000, that's not their market. And we're not selling glass for $10 a square foot, like regular glass goes for or View sells theres at because that's not our market.
Unidentified Analyst: And would you say that Gauzy is now the major producer of SPD film or -- and? Or most general -- would you say that Isoclima and Hitachi still are significant producers? Or is Gauzy basically taking over...
Joe Harary: Well, Isoclima is an end product manufacturer, not a filmmaker. So your 2 filmmakers are Hitachi Chemical and Gauzy. And I can't comment on who's bigger than who, that wouldn't be fair to either of them. But Isoclima is not a filmmaker, but they make end products. I think we have one more question, I see, that popped into the queue.
Operator: And our final question comes from [William Berg].
Unidentified Analyst: First as an investor, Joe, the adoption of SPD in the auto industry hasn't been as hoped. But in regards...
Joe Harary: We're in between vehicles. So I think that's something that is frustrating. That is something we have to understand is that there are development timelines, and a car comes out when it comes out even if you want it.
Unidentified Analyst: Okay. Thanks for saying that. But with the regards to the architectural side, with these energy codes as a requirement on the building industry, glass is a very important part of the code in the light and ventilation and energy. So it's not an insignificant part of the building envelope. So can you comment on whether or not our technology in the glass has been specified into any plans, so we can clearly know yes or no?
Joe Harary: Are you talking about building codes? Or are you talking about projects?
Unidentified Analyst: No, projects.
Joe Harary: We're specked in. The -- yes, what I was trying to say before, though, is just because you specked in, it does mean that you make it in at the final cut. Usually, the first thing to go is the bells and whistles. When someone does a building and they realize that they're over budget because of X, Y and Z, once they put the shovel in the ground, often, the trims and the glass and things like that are things that can suffer. And that's something that I think we learned the hard way.
Unidentified Analyst: Well, my point is because it's such an integral part of the building envelope, once you speck in, it's very hard to redo it because that takes a lot of time. So you're saying that the architects are where the owner is willing to take more of the time to resubmit with another bells and whistles, as you say that's kind of...
Joe Harary: Well, it's not a perfect substitution. I mean you take out the SmartGlass and you put in regular glass with shape, and that's sometimes easier, sometimes harder. Obviously, you don't want it to happen, but I think that it happens a lot where there's a kind of slip between the cup and the lip. Somebody put their shovel in the ground and realized that maybe the ground wasn't as firm and need more money for the foundations and they have to take it out from somewhere else. And -- it happens. It's totally unpredictable is what I'm saying. So while you don't know if it's going to happen and you hope it doesn't happen, it happens sometimes. And I think like I said, that I think View -- now that they've sort of backed off on kind of the definition of backlog, realize that there's always slips between the cup and the lip and you can't count something until it's firmly in. But you know and [Indiscernible] when the order is placed, that's when the glass is produced. And one of the nice things about our business is that's a less risky deal with the customer than what's being done now.
Operator: And we have no further questions in queue.
Joe Harary: Okay. I'd like to maybe make a couple of closing remarks briefly. I think today, new investors getting into the smart window industry, and it is something that's getting a lot of attention now because of the public offering, and View, and maybe to some extent Crown. They probably know a lot more today about the performance cost and also the manufacturing and other limitations of other technologies, such as the electrochemical or electrochromic glass. SPD is a roll-to-roll film-based process, and that allows SPD-Smart light control rolls of film to be shipped where they're needed, cut and laminated to size with a minimum of weight. So that really helps, I think, ultimately, with the logistics and the cost, roll-to-roll and being able to cut at the size and to do a lot more with it. The technology itself also has the best performance in terms of switching speed and range and manufacturing yields and logistics. So all these things that are kind of coming together nicely for us now that the size issue has been dealt with. It's also a proven technology. It's been put into some of the most demanding locations on a car and other uses with over a decade of real-life testing in probably some of the harshest environments in the world. And it's been used without one reported problem in tens of thousands of cars that have been on the road for years. So we have this technology that may appear to be cutting edge and magic, but it's cutting edge, not bleeding edge. And it's also nice to see that even though some of the original car models, because we've been around for over a decade, that your products are coming off their product life cycle, new cars are coming back online with SPD-SmartGlass. And we talked about some of these today or alluded to them. And some of the other uses are expected to be shown in a few weeks at the Munich Auto Show, and even more car models are expected to be announced after that. New aircraft will also be announced, new train applications and now that Gauzy can coat film that's 1.8 meters wide to be used in architectural projects. So things are moving forward. One of the things I also want to highlight is maybe a sign of times to come is our licensees have expanded production capacity in all areas with the supply chain, from the chemistry production, to the film coating, to the fabrication of the end products. for all industries, including the architectural, automotive, aircraft, marine, transit and even consumer electronics industries. And as today's announcements and this call has shown, more and more uses for SPD-SmartGlass are becoming public. I want to take this time to appreciate the hard work that our team at Research Frontiers and other licensees have been doing, and I really want to thank our loyal support of our investors as we continue to lead our industry and move it forward. Thank you all for being part of such an important part of that effort, and thank you for participating on today's call.
Operator: This concludes today's conference call. Thank you for attending.